Irina Axenova: Hi. Good morning, everyone. Thank you again for staying with us for so long and we do apologize for the technical difficulties that we have in the morning. I hope that everything is working well now and the sound is loud and clear. We would like to start our Fourth Quarter Earnings Conference Call Sigma Lithium. And on the call today, we have our Co-Chairperson and Chief Executive Officer, Ana Cabral, and our Chief Financial Officer, Rogerio Marchini. I would like to remind you that the presentations that we're going through today will have some forward-looking statements and some non-GAAP financial measures. These statements reflect our current expectations and involve risk and uncertainties that may cause actual results to matter materially. For more detailed information, please refer to all cautionary statements included in our filings as well as these presentations. And all these documents are available on our website. With this, I'll turn the call over to Ana for prepared remarks. Ana, please go ahead.
Ana Cabral: Thank you, Irina, and I'll be joined by Rogerio, who is going to be sharing the presentation of the financials with me. So without further ado, I'll start with the Green platform. Essentially, we are an integrator in mineral operation and we use proprietary Greentech in our lithium oxide processing plant. So we have two distinct operations. We have a mine and we have a Greentech industrial plant. At that mine, what we've achieved last year was basically to file together with a set of documents, a technical report which increased the mineral reserve estimates of our mines to what it is equivalent of 22 years of feed of spodumene or into the Greentech lithium industrial plant. So the 43-101 audited by an external QP that information. More so we also increased significantly the mineral resources of the company putting it at 107 million tons and 1.4% of the lithium oxide contained. So there is sufficient years and sufficient amounts of spodumene or feed to actually ensure a very long operating life to the Greentech plant. And then on to the Greentech plant. What we have achieved in this quarter was to essentially take the plant to third version, reaching levels of efficiencies such as the 70% lithium recovery at DMS plant level that puts us in a very unique position as an innovator in the sector of lithium processing materials. Now the Greentech plant has had three distinct stages, since it began, since it was commissioned in April 2023. The first version, which is what was built, had to be totally reengineered in one of the circuits that steers to us, which is the circuit that dry-stacked tailings. So the dry stacking and water reusage circuit had a full range near that would allow us then to make the first shipment. That became version 2.0, which is the version with which we initiated operations in Brazil. That version then was a continuum of progress in our research and development on efficiencies. And so it has received significant improvements in the cyclones and the centrifugation, the dense media separation, lithium recovery circuit of that plant that enabled us to get to the 70%. The Module 1, the Crusher, also had its efficiency increase, especially given the introductions of changes in the way the systems work, within the Crusher circuit. The implementation of all these two changes was also followed by the incorporation of a new circuit, the lithium reprocessing circuit, the recycling circuit that allows us to do more production with less mined ore. Well, that circuit, was the main driver of the increased levels of production we demonstrated in the fourth quarter at 77,000 tons. So that plant, the three circuits, the Greentech 3.0 in its improved version of continued innovation is the plant that we're going to build again. And we are in process of setting out works and construction as you can see in the chart below. So on to the operational excellence. The main operational highlights is that in the fourth quarter, we delivered a 28% increase in production of the Quintuple Zero Green Lithium, reaching over 77,000 tons. This was our highest quarterly production ever today and it exceeded the previous guidance. The sales also rose sharply, increasing 29% quarter-on-quarter to 73,900 tons. I have to highlight that this sales success is a result of our fine tuning of our commercial strategy, aligning ourselves with IRH in the United Arab Emirates so that we together focus on value optimization by navigating the seasonality of the purchasing cycles in the downstream market in Asia, in China. So the result of this successful focus on commercial strategy, enabled us to achieve an average CIF China realized price of $900 per ton in the fourth quarter, well above spot. On the safety front, we have quite a lot of progress. We reached over 600 days without a lost time injury. And we also made progress on Plant 2 construction remaining on schedule for commissioning in the fourth quarter of '25. So as we reach speed in execution, we do not do that at the sacrifice of health and safety of our team members. Another important highlight of this presentation is the financial results, the robust financial performance we demonstrated in the fourth quarter. I mean we've shown the significant quarterly cost decrease for our cost from plant gate to all-in sustaining costs. And we're very proud to actually highlight our all-in sustaining costs at $592 a ton. We also reported robust margins, essentially reaching 42% of a cash and operating margin in the fourth quarter and a 26% adjusted EBITDA margin in the fourth quarter. So this demonstrates the resilience of the business to the cash cycles, the pricing cash cycles, therefore, our ability to generate cash flows even in the current price environment. This ability to generate cash flows in the current price environment is what allows us to build H2 to the stages where we are works in civil construction and also allows us to have an operating cash generation in the bank with a healthy liquidity position. We have $46 million in cash in the bank. That was also a result of improved working capital efficiency throughout the quarter where we basically lower short-term debt costs to $19 a ton. Here is a slide, again, that we're very proud and that's why we keep showing it. We reached a 2.35 TRFIR ratio which places at the very top of the rankings of the ICMM for metallurgy and mining. So we've been prioritizing safety first as we build we build responsibility and we respect to our collaborators. So this excellence, this culture of excellence is driven by this day by day culture of safety in the processes. So now I move on to the operating financial performance. So we talk about volumes and then we talk about the cash cost. Volumes wise, we basically are annualizing 270,000 more than 270,000 tons of lithium production. And that's demonstrated by the strong quarterly results of the fourth quarter as 77,000 tons of lithium production. So if we continue at this phase, we will be able to meet this target of 270,000 tons for 2025 and then deliver the additional 30,000 tons that would come from the early commissioning of Plant 2 to a total of 300,000 tons for the forward year for the current year. Once Phase 2 is fully constructed and ramped up, we're going to have expecting 520,000 tons of Phase 2 production. That's delivered with an across the board low cost of $318 per ton of plant gate, which translates into a $427 per ton of CIF China, which then gets interest, SG&A, maintenance CapEx and royalties to deliver us an all-in sustaining cost, which is a true measure of operational cash profitability, which at the fourth quarter reached $592 per ton. We're very proud of this number. Here's now a schematics on production levels. I mean the 28% increase achieved in the fourth quarter basically reinforced the 2025 production guidance we are giving. That's the way. In other words, with Plant 1, we're guiding 270,000 tons, which essentially triangulates well with the annualized fourth quarter production. If one is to add the material coming from Plant 2, we would again get to 300,000 tons, which triangulates very well with results we already achieved with Plant 1 in the fourth quarter. And that is why we're very proud of the fourth quarter results. To the right, there's the guidance in blue. Here is the reported low costs. These low costs on an all-in basis demonstrate operational strength and the resilience of the business throughout the price cycles. So we go from a very low plant gate cost, which is then lower further to yield the plant gate cost for the fourth quarter with an annual picture here at $318 a ton. Now when we go into the all-in sustaining costs, we again are able to lower, on a quarter-to-quarter basis, this cost further lower 22% again mainly a result of the monetization of economies of scale. Here is the buildup to make it easy to connect the COGS with these cash costs. COGS printed in the financial statements are equivalent to $434 a ton. So that's COGS printed in financials. Then we move in to the CIF China. The changes are D&A and the shipment accounting and other adjustments. So very straightforward. It demonstrates we stand to gain from scale as we increase production because ocean freight costs less, once we hire bigger hulls, bigger ships. Here we have another very important bridge, which is the bridge from CIF cash costs to all-in sustaining costs in 2024. Again, very straightforward. We have the CIF China cost and then we add maintenance CapEx. We add SG&A and then we add financial expenses. So all-in sustaining cash cost, royalties are inside CIF China. So of all-in $592 a ton which essentially validate in a current price environment of between 800 and 900 how we are quite profitable per ton in fact. That gives us confidence in a forecast we're putting in for 2025 on an all-in sustaining cost basis and how conservative the forecast that is, because it refers to cost levels that we have already delivered on the fourth quarter. So, again, it also shows in 2026 how economies of scale work to our favor. As we increase production scale, we are able to lower our cost per ton as a result of a monetization of economies of scale. Here are on to financial updates and I'll go through that very quickly. The main message on our financial performance highlights is how rich, how incredible our cash gross margins are. We are showing in the fourth quarter a 42% cash gross margin basically printed. And then that bodes well with the underlying cash gross margin for the year again at over 40%. And that again translates quite well to validate the EBITDA adjusted EBITDA margin for the fourth quarter. We're showing 26% gross margin over an EBITDA of US$12 million. So triangulating really well with the adjusted EBITDA for the year of US$46 million at an underlying 25% which leads us to this very healthy cash position of 46%. These financial results, when we discuss underlying financial results, all we're doing here is adjusting them for an accounting charge that refers to 2023 from settlement of provisional prices that related to materials that had been shipped in the period year 2023 in the fourth quarter. So that amount is $29 million. So that's basically the difference between the reported revenue and underlying revenue, where we appropriate charges for shipments in 2023. Why is that? Because this represents a picture of our business accurate for that year devoid of charges from previous years. Then the same takes place in the operating profit. So we go from a $5 million operating loss to then adding back $8 million of noncash RSUs stock based compensation. We get to three. And then we add back the US$29 million referring to the previous year. And then we get to an underlying number of US$32 million. So interestingly when we compare the quarter to the annual both for the year and as well for both for revenues and as well for operating profit, we can see how it triangulates well as the underlying triangulates well as a good demonstration of what our business looks like because it's essentially that revenue of the fourth quarter times four conceptually speaking. So there's an order of magnitude validation and corroboration that takes place here because we posted a very straightforward, simple to read full quarter. Similar element with the EBITDA and the EBITDA underlying margins. Again, we begin to report that EBITDA, add it back, stock based compensation, noncash. We get to a reported adjusted EBITDA and then we put in the US$29 million referring to previous years' provisional price adjustments that settled this year from shipments last year. That gives us to the US$46 million underlying EBITDA for the full year. In the quarter, we didn't have those adjustments. So we get to a US$12 million reported EBITDA in the quarter, which again triangulates in order of magnitude quite well with the numbers posted for the full year 2024. And here again, still on the thematic of cash margins. The numbers we posted in the fourth quarter just demonstrates, out of the curve, how much of an outlier the third quarter numbers were because that was the year where we made all those charges. The accounting settlements for the US$29 million for the settlements of shipments that took place in 2023. So again it shows that the trend over 30% for our realized gross margin reported is actually very much in line with the previous quarters. So the same happens to the reported EBITDA margin on a quarter-to-quarter basis. So this demonstrates incredible operating consistence that Sigma has had. Because as the price is somewhat stabilized for lithium, we were able to maintain on an operational side, which is where we control this operational consistency. So now we're going to talk about our liquidity and our debt position. And I call here Rogerio Marchini, our Chief Financial Officer, who is going to start, discussing our cash position and our liquidity position.
Rogerio Marchini: Thank you, Ana. Good morning, everyone. We closed the year with a low working capital requirement, driven by our disciplined cost control and increased production volumes, which result in 46 million cash positions. Regarding the long-term debt maturity. While the 2026 maturity may appear substantial, it actually represent only four months of sales at the current lithium price, making it manageable within the context of our business. Moving to the next slide. We have successfully reduced short-term debt levels, which are now lower than in the first half of 2024, while actively recording production's level. Additionally, we have maintained financial cost at the low levels reached in the third quarter of 2024. When looking at the financial cost per ton, we have seen a significant reductions in short-term debt costs. With higher production volumes project for 2025, we expect financial cost per ton to align more cost with the level observed in the fourth quarter of 2024 greater than two strong earliest quarters. Now moving to the next slides. Throughout 2024, we reduced financial cost per ton as we increased our production volumes. In 2025, while we plan to significantly ramp up productions, the impact on financial costs per tons may not be as significant as we expect to disburse BNDES loan and will not yet see the full impact of Plant 2 productions as it not be fully operational. However by 2026 once Plant 2 is operating at full capacity, we anticipate a sharp reduction in financial cost per ton. Ana back to you.
Ana Cabral: Thank you. Well, so here, we're now reporting the forecast. And we left a message here where we say the forecast are consistent with what we've already done. In fact, it's more conservative than what we have achieved in the fourth quarter. So essentially, this forecast also demonstrate at the bottom table, the cash flow per ton calculate the cash flow total calculated that based on the cost per ton we showed above, which basically shows how resilient Sigma Lithium is, even in a current price environment. And that resilience further increases as we increase economies of scale. So wrapping up here, when we see $100 in price movements, you see a disproportionately higher increase in our cash flow generation given that we're such a low cost producer and all the gains that that come from prices above a certain level goes straight to the operational profitability. Now we're going to go quickly to operational performances. Again, we can build fast. Building Plant 2 is essentially replicating Sigma's speed of execution and successful track record in building Plant 1. We have an advantage. We have to do a lot less construction between Plant 1 and 2 because here, when you show this picture, it's clear to see all of what's in green doesn't need to be rebuilt. In fact, it's been constructed to support three yellow lines. So here on the table here, you get to see which of the construction work streams of Plant 1 are actually common to Plant 2. And those marked in red are those that relate to the existing infrastructure. So it's almost half of the time we economize in construction and a significant amount of CapEx that has already been built upon which we're taking advantage of in order to operate. So much simpler construction and faster process. So I think with that we're just going to quickly show one slide around the NI 43-101 that we published for the Canadians. It just shows a present value of US$6 billion. We showed the price curve that we use, which begins at $900 continues at $900 for next year. That was reported by Benchmark Minerals. So we took it from Benchmark Minerals and the significant changes in the way the project, which was then the project when the NI 43-101 was outlined and the company delivered. So that there's this dislocation of beginning of operations in a much more conservative forecast in dark green in the 2025 report because we're now an operating company. And we have the certainty of our numbers, cost, CapEx and the production. So it's actually a privilege to be able to put out a model from the vantage points that we're in where we sit now delivering basically on what we put out as far as visibility. So the model we put forward in January 2023 is dislocated and it had much, much higher lithium prices given the current market environment at the time it was published. So the differences in NPV are due to these two elements, changes in the prices, significant changes in the prices, especially with different. But we're doing well with those prices as the whole presentation showed and the changes in the timelines of development because it was a function of changing prices and our conservative approach. As the prices decreased in 2023, we actually didn't stop our plants. We just stretched them out one year further by decoupling the construction of Phase 2 and Phase 3 which were outlined in the previous NI 43-101 report. So with that, we close for questions, go straight to the Q&A. And I really want to thank you for your patience for being here waiting for us patiently throughout this presentation and the various deliveries we had of this presentation. And now we're here to answer all your questions.
Operator:
A - Ana Cabral: So I'll start with Joel. Joel hosted us in Miami just recently Irina and I.
Joel Jackson: Hi. Do you hear me?
Ana Cabral: Yes. Loud and clear.
Joel Jackson: Okay. I had to make sure there I had to make sure you could hear me. Okay. Trying to make sense of a lot that's gone in the last couple of hours. But I'd like to really focus, Ana and team, as specifically as possible as we can on the different cost buckets that you're talking about as we've seen in the last quarter and the guidance in 2025. I'm looking specifically at Slides 13 and 14 in your presentation, but you've spoken about this verbally and you have lots of comments in your various releases today. The first question I'd like to ask, as I'll ask them one by one is, Ana, if you don't get 270,000 tons of production this year, if you get 250,000 tons, sorry, 240,000 tons similar to 2024. Let's just say you get that. How do the per ton cost look in '25? What happens with all-in sustaining costs? What happens with CIF China cost? How does that change specifically if you go to 240,000 tons again in '25 and not 270,000 tons?
Ana Cabral: Well we basically have -- a number that will go back to what we had in the second quarter for example. So at 240 the numbers become pretty similar to the second quarter because essentially that's sort of what we had at that time without the one-off items that contributed to increase the cost in the third quarter. So it's already -- we've already been through it. And I think I love your question because when you think about the picture of what we've achieved on an all-in sustaining cost, where we actually have the ability to actively decreasing these costs, the main effect is from a reduction of short-term debt. Because prior to getting the final sign-off of BNDES, we maintained 100 million of disbursed short-term debt in the balance sheet as to mimic what we would need to spend and how we would need to fund shall we progress throughout the construction without the BNDES loan. We had the cash there. We would just keep fully drawing upon our short-term trade lines. Now what has changed once BNDES was announced as fully committed and signed a loan contract, we no longer needed to demonstrate that we would have cash in the bank. Just a certain amount that would cover for two months of working capital plus four months of, let's say, any delays in reimbursements by BNDES. So we kind of rounded out this math in terms of working capital. And we believe that the levels at which we close short-term debt in 2024, around 60 million represent well together with 100 million of BNDES, what the interest cost would look like in the following quarters. And then what would happen with further scale. So Rock Hoffman, please take your question.
Rock Hoffman: Hi. Can you hear me?
Ana Cabral: Yes.
Rock Hoffman: Sorry. Can you guys hear me now?
Rogerio Marchini: Yes.
Ana Cabral: Yes. We can hear you loud and clear.
Rock Hoffman: Perfect. Given carbon prices have fallen roughly high-single-digits since November, while spodumene has been somewhat sideways. Just wondering how you view the interplay of pricing between these two commodities and whether or not we should expect spodumene to fall if carbon stays at current levels?
Ana Cabral: Well, the current levels, that are a consequence of inventories, unfortunately. It's not a story of demand. As we all know demand is incredibly robust. The inventory is built during the high cycle mainly are now being washed out and absorbed in the market. So we haven't increased demand, but inventories keep on being absorbed. So that's why you don't see the loss of supply/demand working because you need to add up the inventory. So essentially what you got here is the search for that inflection point when you have supply and demand driving the pricing without interference of inventories economically. So that is actually what's to monitor. So we still have a picture. Long way to say that we still have a picture of sizable inventories within the system throughout 2025. The question is how robust will be the demand because the depletion rate of those inventories will drive, will push, we believe, closer to where we are now the moment the price influx.
Rock Hoffman: Thank you. And just a quick clarification. Do you guys expect to get the first loan disbursement from BNDES? And has this taken longer than expected?
Ana Cabral: Yes. We believe it will happen at around the disbursement around midyear because then the next step is to send them the packages of what has been purchased, has been utilized for reimbursement purposes. And then they would evaluate and then they go back around sending us a reimbursement back. The way BNDES works is on a reimbursement basis. It isn't as if they're going to transfer $100 million at once almost like invoice reporting. We send them the batches, they review, and then they affect the disbursement, the reimbursement. Next one will be, Joel, you still have a remaining question?
Joel Jackson: Yes, it was weird. It disconnected. Sorry, I want to go back to the specific I was going back to find the deck, Slide 13 and 14. I'm having trouble getting some of your numbers. Like financial expenses, you're saying are $70 a ton in the fourth quarter. Now what are we talking about as financial expenses? Like I have to look again, but I think your fourth quarter numbers are CAD16 million or CAD20 million. If I divide that by 77,000 tons, I get way higher than $70 a ton. I'm just trying to understand how you get that? Can you give me the exact numbers? I mean I can do 70 times 77,000 tons, but it seems like your financial expenses were higher in the quarter.
Ana Cabral: Well, what we can do, we can get Irina get back to you because I don't have the exact numbers in front of me. But what I think it's interesting to highlight and that's a very important point. In the third quarter, we paid the interest for the US$50 million ACE for Citibank. So we had a dislocation of interest for one period. There's a slide here. If you look at the, I don't know the number of the slide, but I'll get it to you. So let me go here. It's going to be on your screen in a second. Yes. So you see there, so these are the closest two exact numbers I can give you and that's on the short-term interest per ton. So it's just a short-term debt perhaps that's kind of where there's a mismatch. So you see the actual interest number and then the dollar the interest dollar per ton. So that's your 19 that we put on that other page short-term. Because then on the long-term, there's a considerable change because then we're changing 10% a year trade finance lines, the 100 million average that we had disbursed because you see the disbursement change throughout the year, but on the annual is an average, right? And then we -- that becomes subsidized ultra low cost debt. So I go from 10% to 2.5% in dollars per year. So the long-term debt has beneficial impact from BNDES entering as reimbursement here.
Joel Jackson: And just my last question would be, are there any trends or things you're working on happening in ocean freight or road freight like things cost up, down, flat things you're working on to improve that or it's pretty steady state?
Ana Cabral: For us there are opportunity in ocean freight significant. And we don't want to talk much about it, but it's kind of obvious. We hired our first Supramax for the cargo shipment. That was 47,000 tons. It's more space, yes. But it costs us less per ton than contracting a smaller vessel, sharing space in a smaller vessel, which calls on many ports for the usual shipments we were sending of 22,000 tons, right? So when you go 47,000 tons, there are efficiencies to gain in ship contracting and whole usage that we wouldn't have when we're just hiring the smaller vessels.
Joel Jackson: Okay. Thank you very much.
Ana Cabral: [Technical Difficulty] on schedule. And we're going to be able again to commission a plant before Christmas. So thank you so much and I want you to have a great -- I hope you have a great day. Thank you for your patience.